Operator: Greetings, and welcome to the Pro-Dex Fiscal 2012 Fourth Quarter and Full Year Conference Call. [Operator Instructions] As a reminder, this conference is being recorded.
 Please note that the comments made on this call may include statements that are forward looking within the meaning of securities law. These forward-looking statements may include, without limitation, statements related to anticipated industry terms, the company's plans, products, perspectives and strategies, both preliminary and projected.
 Actual results or trends could differ materially. We undertake no obligation to revise or publicly revise the results of any revision to the forward-looking statements in light of new information or further events. For more information, please refer to the risk factors discussed in our company's Form 10-K for the year ended June 30, 2011, our Form 10-Q filed subsequent to the date, our Form 8-K we are filing with the SEC today along with the attached press release and the Form 10-K for the year ended June 30, 2012 that we expect to file within the next week. Companies can obtain from the SEC or by visiting our website at www.pro-dex.com.
 It is now my pleasure to introduce your host, Mr. Michael Berthelot, CEO for Pro-Dex.
 Thank you, Mr. Berthelot, you may begin. 
Michael J. Berthelot: Thank you, Doug, and thank you all for joining us to review the results of the fourth quarter and fiscal year ended June 30, 2012. On today's call, Hal Hurwitz, our CFO, will provide us with the synopsis of our operating results after which I will share my comments. Then as Doug mentioned, we will open up the call to your questions. Hal? 
Harold Hurwitz: Thank you, Mike. My discussion of our results for the fiscal fourth quarter and year ended June 30, 2012 and 2011, will relate to our continuing operations, meaning that the results of our former Astromec motor product line, which was sold in February 2012, will be excluded.
 Sales for the quarter ended June 30, 2012, decreased 46% to $3.7 million from $6.8 million for the corresponding quarter in 2011. For the year ended June 30, 2012, sales decreased 28% to $17.3 million from $24 million for the year ended June 30, 2011.
 As we have disclosed previously, the decreases in sales were primarily the result of the continuation of a reduction in purchases of our medical device products by our largest customer.
 Gross profit for the quarter ended June 30, 2012, was $858,000 or 23%, compared to gross profit of $2.9 million or 43% for the year ago period. For the year ended June 30, 2012, gross profit was $5.4 million or 31%, compared to $10.1 million or 42% for the corresponding period in 2011. These decreases resulted primarily from the year-over-year decreases in sales and the commensurate change in sales mix to products with lower gross margin. Also contributing to the gross margin decreases were reductions in manufacturing efficiencies due to the lower sales volume.
 Operating expenses, which include selling, general and administrative and research and development expenses for the fourth quarter of 2012 decreased 12% to $1.6 million from $1.8 million in the prior year's quarter. For the year ended June 30, 2012, operating expenses were $6.8 million, relatively unchanged from the prior year's operating expenses of $6.7 million.
 Underlying the absence of a year-over-year change was a decrease in employee compensation, including the aforementioned lower bonuses and other operating expense cuts, offset by costs of $485,000 incurred of severance costs associated with the replacement of our CEO and Vice President of Sales and the 2 previously announced reductions in force.
 The decreased sales, reduced gross margin and increased operating expenses resulted in a pretax loss from continuing operations of $707,000 for the quarter compared to pretax income from continuing operations of $1.1 million in the corresponding 2011 period. For the year ended June 30, 2012, pretax loss from continuing operations was $1.4 million compared to pretax operating income of $3.3 million for 2011.
 Net loss for the quarter ended June 30, 2012, was $545,000 or $0.17 per diluted share compared to net income of $1 million or $0.31 per diluted share in the corresponding 2011 quarter.
 For the year ended June 30, 2012, net loss was $876,000 or $0.27 per diluted share compared to net income of $2.6 million or $0.80 per diluted share for 2011.
 During the year ended June 30, 2012, we generated $45,000 of cash from operating activities compared to the generation of $2.9 million of cash from operating activities in 2011.
 Cash on hand at June 30, 2012, was $4.1 million compared to $4.7 million at June 30, 2011.
 In concluding my remarks on the numbers, I will note that the 2012 results I just covered are substantially the same as those we previewed in our conference call last month.
 With that, I will turn the call back over to Mike for his review and outlook comments. 
Michael J. Berthelot: Thank you, Hal. As we said last month when we previewed our 2012 results and discussed our operating plan, fiscal 2012 was a year of transition during which we wrapped up shipments for our largest customer in the fourth quarter. In order to meet those shipping requirements, it was necessary for us to maintain a staff and cost structure for much of the year that exceeded our long-term requirements. We believe we have now reduced our cost structure to one that matches our current environment. We have established our strategy and operating plan for the future and are totally focused on executing that plan and strategy.
 With 2 months of the new fiscal year behind us, we feel that we are making progress and moving forward. We believe our sales are running at or above plan, our margins are coming back and our operating costs remain under control. We have a number of new product opportunities that we are discussing with current and potential customers that might provide opportunities for growth. Our operations team is executing the daily heavy lifting involved in reducing our lead times and meeting our customers' shipping expectations. Our engineers are working on enhancements to quality, innovation and value. Everyone is focused on cost control so as to provide better value to both our customers and our shareholders. Of course, 2 months do not a quarter or fiscal year make, but we find short-term reinforcement of our strategy in these early indications. We will provide a full report of our progress at the end of the first quarter.
 Since our update call, we have continued to look at everything we do to determine if it is necessary and appropriate in our current environment. As a result of that effort and recognizing that we are in violation of certain financial covenants of those lines of credit, we decided that we would terminate our current bank lines of credit and retire our existing term debt. We have not accessed that line of credit in more than 2 years, and based on realistic advance rates, we could only have accessed half of the line if we had desired to use it. As a result of this action, we will free ourselves of the administrative burden in meeting monthly reporting requirements and managing the business to meet bank covenants, remove some restrictions on our ability to utilize our cash and save interest expense by retiring our term loan 24 months early. We may, in the future, consider putting in place lines of credit that are smaller and more in line with our actual asset base, but we believe for the time being that our existing cash balances and operating cash flows will be adequate to fund our operations.
 I will now turn the call back to Doug for questions. 
Operator: [Operator Instructions] Gentlemen, it appears we have no questions in the queue at this time. 
Michael J. Berthelot: Okay then. Well, thank you all for joining us today for the conference call. And thank you, Doug, for moderating it. We appreciate your time and support of the company, and we look forward to speaking with you next month when we expect to report our first quarter of fiscal 2013 results.
 Thank you. 
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.